Operator: Welcome to the CRH Third Quarter 202 Results Presentation. My name is Krista, and I will be your operator today. [Operator Instructions] At this time, I'd like to turn the conference over to Jim Mintern, CRH Chief Executive Officer, to begin the conference. Please go ahead, sir.
Jim Mintern: Hello, everyone. Jim Mintern, here, CEO of CRH, and you're all very welcome to our Q3 2025 results presentation and conference call. Joining me on the call is Nancy Buese, our CFO; Randy Lake, our COO; and Tom Holmes, Head of Investor Relations. Before we get started, I'll hand over to Tom for some brief opening remarks.
Tom Holmes: Thanks, Jim. Hello, everyone. I'd like to draw your attention to Slide 2 shown here on the screen. During our presentation, we'll be making some forward-looking statements relating to our future plans and expectations. These are subject to certain risks and uncertainties, and actual results and outcomes could differ materially due to the factors outlined on this slide. For more details, please refer to our annual report and other SEC filings, which are available on our website. I'll now hand you back to Jim, Nancy and Randy.
Jim Mintern: Thanks, Tom. We'll now take you through a brief presentation of our results for the third quarter of the year, highlighting the key drivers of our performance, our recent capital allocation activities as well as our expectations for the year as a whole. We will also share our thoughts on some of the trends we are seeing across our markets as we look ahead to 2026. So at the outset, on Slide 4, let me take you through some of the key messages from our results. We are pleased to report a record third quarter performance and raise the midpoint of our adjusted EBITDA guidance for 2025, reflecting the continued execution of our strategy, our unmatched scale and connected portfolio of businesses. Assuming normal seasonal weather patterns and no major dislocations in the political or macroeconomic environment, we expect full year adjusted EBITDA to be between $7.6 billion and $7.7 billion, representing 10% growth at the midpoint and another record year for CRH. Supported by our growth algorithm and the CRH winning way, we delivered double-digit adjusted EBITDA growth in Q3, reflecting our leading performance mindset. We have also been busy investing for future growth and value creation across our 4 connected platforms of aggregates, cementitious, roads and water. Our ability to deploy capital in high-growth markets, integrate at scale and deliver unique synergies to our connected portfolio is a real differentiator for our business. In the year-to-date, we have invested $3.5 billion in 27 value-accretive acquisitions, and we have a strong pipeline of further growth opportunities in front of us, supported by our proven growth capabilities. Looking ahead to 2026 and based on the visibility we have across our key markets, the outlook for our business is positive. And I will take you through that in more detail later in the presentation. Turning now to Slide 5 and our financial highlights for the third quarter. A record performance with revenues, adjusted EBITDA margin and diluted EPS, all well ahead of the prior year period. Total revenues of $11.1 billion represent a 5% increase over the prior year, supported by positive underlying demand, continued pricing momentum and contributions from acquisitions. This enabled us to deliver $2.7 billion of adjusted EBITDA in the quarter, a record for CRH and a 10% increase over the prior year. I'm also pleased to report a further 100 basis points of margin expansion in the quarter, demonstrating our relentless focus on performance across our business. All of this translated into further growth in our diluted earnings per share, up 12% year-on-year. So what is driving the consistency of our financial delivery? Outlined here on Slide 6 is our growth algorithm, which we presented during our Investor Day in September. As the leading infrastructure play in North America, we are uniquely positioned to capitalize on 3 large and growing megatrends: transportation, water and reindustrialization, which we believe will support significant above-market growth and value creation for our business going forward. Next, the CRH Winning Way, core to who we are deeply embedded in our culture and the engine behind everything we do. Through our winning way, we execute our superior strategy with discipline and focus. We drive leading performance across 4,000 locations through a culture of continuous improvement. We are responsible stewards of our shareholders' capital. Every dollar we deploy is rigorously assessed to ensure that it drives maximum long-term value, and we leverage our proven growth capabilities to build leadership positions in high-growth markets. All of this is supported by 4 key enablers: customer centricity, empowered teams, unmatched scale and our connected portfolio of businesses. Our winning way is what really sets CRH apart. It is the multiplier that enables us to fully capitalize on growing infrastructure megatrends. It underpins our proven track record of delivering consistent double-digit earnings growth and being the leading compounder of capital in our industry. Now at this point, I will hand you over to Randy to take you through the performance of each of our businesses.
Randy Lake: Thanks, Jim. Hello, everyone. Turning to Slide 8 and first to Americas Materials Solutions, which delivered a robust performance in the third quarter against a strong prior year comparative. Total revenues and adjusted EBITDA were 6% and 5% ahead, driven by good underlying demand, positive pricing momentum and contributions from acquisitions. Aggregates pricing increased by 4% or 6% on a mix-adjusted basis. Cement pricing increased by 1%, reflecting regional variances across our operating footprint and supporting another year of margin expansion. In our Roads business, Q3 revenues were 5% ahead, supported by good levels of activity in transportation infrastructure, which continues to be underpinned by strong state and federal funding. We also continue to see significant growth in reindustrialization, particularly in large-scale manufacturing and data centers. I'm also pleased to see continued strength in our margin at approximately 28%, reflecting strong cost discipline and operational efficiency across our business. So overall, a strong performance for our Americas Materials Solutions business. And as we look ahead to the remainder of the year, I'm encouraged by the positive momentum in our backlogs. Next to Americas Building Solutions on Slide 9, where our business delivered strong profit growth and further margin expansion driven by favorable underlying demand and good commercial management. We continue to experience robust data center demand which is a key focus for our business. In addition to being very materials intensive, these highly specified facilities require state-of-the-art water, energy and communications infrastructure, which fits very well with how we've strategically positioned our business and our customer offering. By leveraging our unmatched scale and connected portfolio, we're able to deliver more value to our customers and generate higher profits, cash and returns on these types of projects. In our Outdoor Living business, where we continue to experience resilient underlying demand in residential repair and remodel activity, Q3 revenues were 2% ahead of the prior year. For Americas Building Solutions overall, total revenue growth of 2% translated into a 22% increase in adjusted EBITDA and a further 380 basis points of margin expansion, reflecting the benefits of ongoing business and asset optimization initiatives, including the disposal of certain land assets across our operations. Moving to International Solutions on Slide 10, where our business delivered a strong third quarter, supported by continued pricing momentum, ongoing performance improvement initiatives and contributions from acquisitions. On top of a 5% increase in revenue, we delivered a 15% increase in adjusted EBITDA and a further 170 basis points of margin expansion. In Central and Eastern Europe, we experienced positive underlying demand across our key end markets and early signs of recovery in new build residential activity. While in Western Europe, activity levels continue to be supported by infrastructure and nonresidential demand. In Australia, our business is performing well, benefiting from strong demand and synergy realization from recent acquisitions. At this point, I'll hand you over to Nancy to take you through our financial performance and capital allocation activities in further detail.
Nancy Buese: Thank you, Randy. Turning to Slide 12. And as Jim mentioned earlier, we delivered a record third quarter performance with further growth across our key financial metrics. Q3 adjusted EBITDA of approximately $2.7 billion was 10% above prior year, driven by positive underlying demand, continued pricing momentum and contributions from acquisitions. We also delivered 100 basis points of margin expansion, keeping us well on track to deliver our 12th consecutive year of margin improvement in 2025, demonstrating our leading performance mindset and the consistency of our financial delivery. Turning to Slide 13 and to talk about our capital allocation activities so far in 2025. Starting with M&A, where we have invested $3.5 billion on 27 value-accretive acquisitions, further strengthening our connected portfolio and leading positions in high-growth markets. We've also invested $1.2 billion in growth CapEx through the third quarter, leveraging our size and scale to fully capitalize on low-risk, high-returning investment opportunities that expand our capabilities, support margin growth and enhance long-term shareholder value. We also continue to deliver significant accretive returns to shareholders through dividends and share buybacks. Year-to-date, we've returned over $700 million in dividends, and we've also announced that our Board has declared a further quarterly dividend of $0.37 per share. representing an increase of 6% on the prior year, in line with our strong financial position and policy of consistent long-term dividend growth. Through our ongoing share buyback program, we have also repurchased $1.1 billion of shares so far this year. And today, we are commencing a further quarterly tranche of $300 million. Since the inception of our buyback program in 2018, we have returned over $9 billion to shareholders, representing 23% of our outstanding shares at an average price of $49 per share. Overall, we have deployed $6.5 billion towards growth investments and shareholder returns so far this year, demonstrating our focus on the efficient allocation of capital to maximize shareholder value. As we communicated during our recent Investor Day, over the next 5 years, we expect to have approximately $40 billion of financial capacity to invest for future growth and deliver further returns to our shareholders, consistent with our long-term track record of value creation and reinforcing our position as the leading compounder of capital in our industry. I will now hand you back to Jim and Randy to provide some further color on our recent growth investments.
Jim Mintern: Thanks, Nancy. As you can see here on Slide 15 in North America, our largest market, we have strategically and deliberately built out our 4 key growth platforms to become the #1 infrastructure play in the region. Let me step you through each of these in turn. It all begins with Aggregates, a valuable finite resource and the backbone of our business. In fact, approximately 95% of our revenue is connected to Aggregates. Aggregates feed into everything we do from our Cementitious business to our roads business to our water infrastructure platform. Here, our position is unrivaled with 230 million tonnes of annual production and 20 billion tonnes of reserves. We own more stone on the ground than anyone else in the industry. Building on that foundation, we are also a leader in cementitious materials with around 25 million tonnes of annual production capacity. Together, Aggregates and Cementitious products are the essential building blocks of modern infrastructure, enabling us to build, maintain and improve the networks that communities and economies rely on every single day. Through our connected portfolio, we are also the largest road paver in the United States. This is a business supported by recurring revenue and robust public funding. We produce more than 50 million tonnes of asphalt annually, equivalent to the next 5 largest players combined. And importantly, our paving operations are almost entirely self-supplied by our own high-value aggregates and asphalt. Finally, we are also the leader in water infrastructure, where we provide customers with engineered systems that collect, protect and transport this vital resource. Our Water business has national coverage and over 80% of the products we produce consume aggregates and cementitious materials. And since over 85% of roads require water management systems, the strength of our water platform further reinforces the benefits of our connected portfolio and shared customer base. Taken together, these 4 platforms, Aggregates, Cementitious, Roads and Water form the foundation of our unique position as the #1 infrastructure play in North America, and we are focused on continuing to invest across these platforms to deliver further growth and value for our shareholders. Let's take a look at some examples of our recent investments, starting with 2 bolt-on acquisitions on Slide 16. First, American Industries, a provider of aggregates, asphalt and road paving services in Connecticut. This acquisition increases our aggregates reserves and expands our presence in an attractive market in the Northeast region of the United States. We also acquired Terracon Precast, a newly constructed concrete pipe plant with 70,000 tons of annual production capacity in North Carolina. This is highly complementary to our existing water infrastructure business and significantly strengthens our ability to serve customers in Raleigh and Greensboro markets. These are just 2 examples out of the 26 bolt-on acquisitions that we have completed year-to-date, fully aligned with our strategy to invest across our 4 connected growth platforms with exposure to growing infrastructure megatrends. Now at this point, I will hand you over to Randy to update you on our recent acquisition of Eco Material Technologies and growth CapEx investments.
Randy Lake: Thanks, Jim. First, to our $2.1 billion acquisition of Eco Material, which completed in September. This acquisition strengthens our position as a leading cementitious player in North America with approximately 25 million tons of combined annual production. And I'm pleased to report that early integration is progressing well, and we've already identified significant commercial, operational and logistical opportunities to enhance performance and create long-term value for our shareholders. As you can see on the map on the right-hand side of the slide, it's an excellent strategic fit and highly complementary to our existing platform. It creates a unique national distribution network, enhances our innovation capabilities and positions us to better serve our enlarged customer base. Overall, we expect to unlock strong future growth and synergy realization with Eco Material under our ownership, representing an exciting opportunity to accelerate our cementitious growth strategy and deliver a tremendous amount of value for our shareholders. Turning to Slide 18 and some examples of the types of growth CapEx investments that we're making to support future growth in our existing business. First, we recently completed the construction of a precast pipe and box culvert plant just outside Austin, Texas, which will enable us to meet growing demand for our water infrastructure products. The location is not only very attractive from a market growth perspective, it will also enable us to self-supply our own aggregates and cement from our existing operations in the area. And in Utah, we're modernizing our cement plant in Leamington, which will increase annual production capacity by 240,000 tons to meet strong demand throughout the inland West market. These are just two examples of how we're deploying capital efficiently, low-risk, high-returning investments that are an excellent use of our shareholders' capital.
Jim Mintern: Thanks, Randy. Great examples there of how we are deploying capital in high-growth areas. Finally, to outlook on Slide 20, and I'm pleased to say that we are raising the midpoint of our adjusted EBITDA guidance for 2025, reflecting our continued strong performance and a partial year contribution from the Eco Material acquisition. Assuming normal seasonal weather patterns for the remainder of the year and no major dislocations in the political or macroeconomic environment, we expect full year adjusted EBITDA to be between $7.6 billion and $7.7 billion, a 10% increase at the midpoint. Net income between $3.8 billion and $3.9 billion and diluted earnings per share between $5.49 and $5.72. As Nancy mentioned earlier, we also expect to deliver our 12th consecutive year of margin expansion in 2025, demonstrating the consistency of our delivery and relentless focus on continuous performance improvement. Taking all of this into account represents yet another record year of growth and value creation for CRH. Now before I hand over to Q&A and as we look ahead to 2026, I'd like to take a moment to share our thoughts on some of the trends we are seeing across our key infrastructure megatrends in North America. First, to transportation, where the demand backdrop is robust, supported by the continued rollout of federal funding through the IIJA. Approximately 60% of the IIJA funds are yet to be deployed, highlighting the significant runway we still have ahead of us. State level funding is also strong with the 2026 DOT budgets up 6% on the prior year. Through our unmatched scale and uniquely connected portfolio, we are well positioned to benefit. In fact, if you look at the DOT capital spending authority across our top 10 states, it's expected to increase by 13% -- it is also encouraging to see continued support for increased infrastructure investment. For example, we saw Michigan recently approving $1.85 billion in new transportation funding over the next 4 years. Transportation infrastructure remains one of the most recurring and predictable revenue streams of our business. And as the largest road paver in the United States and the #1 infrastructure play in North America, we are well placed to benefit. We also expect to see continued investment in the whole area of water infrastructure, a large and growing market for our business with high single-digit growth projected in the areas of water quality and flow control for 2026. In reindustrialization, we expect continued strong demand for large-scale manufacturing and data center investment. With approximately $690 billion of data center projects either announced or under construction and with each of these projects located within 50 miles of a CRH location, we are very well positioned to benefit in this area going forward. In the residential sector, we expect repair and remodel demand in the U.S. to remain resilient, while new build activity remains subdued as a result of the ongoing affordability challenges with the benefit of recent interest rate cuts unlikely to be felt until late 2026 at the earliest. As we've said in the past, this is not a demand issue, and we believe the long-term fundamentals in this market remain very attractive, supported by favorable demographics and significant levels of underbuild. In our international business, we expect robust demand in infrastructure to continue, supported by significant investment from government and EU funding programs. nonresidential activity to remain stable across our key markets and a continued recovery in the residential sector as a result of lower interest rates. Regarding the pricing environment, we expect positive momentum to continue across our markets, supported by disciplined commercial management as well as the benefits of our connected portfolio. In summary, the overall trend is positive for our business with our strategic focus on growing infrastructure megatrends and the benefits of the CRH Winning Way, leaving us uniquely positioned to capitalize on the strong growth opportunities that lie ahead. So that concludes our prepared remarks today. I will now hand you back to the moderator to coordinate the Q&A session of our call.
Operator: [Operator Instructions] We'll take our first question from Anthony Pettinari with Citi.
Anthony Pettinari: I'm wondering if you have any further color on expectations for 2026 and maybe specifically how you're thinking about volume, price and contribution from M&A?
Jim Mintern: Anthony Yes, listen, I might ask Randy to come in a minute just on some of the detail on volume and prices and Nancy, maybe just on some of the scope impacts on '26. But overall, the outlook for '26 is positive, Anthony. And really the key growth areas we see for ourselves around infrastructure. And for us, that's around transportation and water, but also reindustrialization. Maybe first on transportation. With roads, still 60% of the IIJA is yet to be spent. And indeed, the local state budgets are also strong into 2026. This kind of strong funding backdrop for us leaves us really well positioned given our unmatched scale and connected portfolio in our roads portfolio. And as you know, it's probably our most consistent and recurring revenue streams that we have in CRH. Also on the water infrastructure side. It's a very strong funding backdrop and that ongoing investment, which is really needed and required to address the aging network -- aging water network across the U.S. On reindustrialization into '26, we see data center activity continue to be strong. And really for us, given our connected portfolio, it's not just about delivering aggregates on sites. We're often the very first person on site there with our energy, our water and our communications subterranean infrastructure going in early. So it's a really kind of holistic pull-through of the connected product offering we have. Maybe just touching on residential for 2026. We think it's going to remain subdued, right? It's not a demand issue, but affordability with a 30-year fixed still at 6.2%, it's still too high. And we need continued interest rate cuts before we see any recovery on the U.S. res side. So our kind of assumption is that there's no real benefit for us in 2026. If it is, it's going to be really at the very back end. And -- maybe just in international briefly, again, infrastructure is strong, both strong levels of EU and local government funding as well across our state government funding across Europe. Reindustrialization, we kind of see a stable outlook for 2026. And on residential in Europe, slightly different because Europe and the euro are more advanced on interest rate reductions, and we're beginning already to see the benefit of that coming through in terms of a continued recovery in residential. But maybe, Randy, just on maybe the specific volume and prices.
Randy Lake: Yes. Maybe just to build out just a quick comment before I do that, just on maybe an example of a couple of projects we're working on. For example, in the northwestern part of the U.S. and around Boise, working on a chip manufacturing plant and a data center. I think what Jim called out is important that critical infrastructure that focus on the needs of energy and water management allow us early access on these projects. They're highly specified. -- gains us the opportunity then to pull through a variety of other products as part of that connected portfolio, the aggregate, the cement, the ready-mix and ultimately, the paving around those sites. So in the end, that strategy is certainly delivering higher returns and as we gain larger share of wallet of some of those key customers. And I guess that is a lead in to say, hey, Q3 was encouraging. Ag and cement volumes up kind of mid- to high single digits coming out of the Q2 that was a little more weather impacted. So good to see underlying demand coming through. And again, a positive pricing environment. Ag, in particular, up 6% on a mix-adjusted basis. So that's good to see. In cement, another year of progress in terms of low single-digit pricing. And as we look forward, we talk about this all the time, the backlog, whether that's for our roads business, the critical infrastructure business, we have good visibility kind of 6 to 9 months out. The bidding environment remains positive. So we're bidding more than we had at this point last year, and our backlogs would reflect an increase in revenues in quantums as we look into next year. In terms of what that means for an outlook in regards to demand, we're looking at our aggs volume in that low single-digit improvement from '25 and mid-single digits in regards to pricing. And cement, very similar, again, low single-digit volumes and pricing, another year of advancement there. So it's building off of a good '25. But again, the backlogs would be encouraging in regards to what our expectations are as we get into next year.
Nancy Buese: Yes. And circling back to the question about the M&A contributions. It has been a really active year for us, 27 deals so far. Eco was the largest, and that was completed in September. So if you think about the contributions from all of this M&A thus far in 2025, I would roughly estimate about $200 million of EBITDA net incremental in 2026. And we'll talk a lot more about 2026 at our year-end results in February. We'll give you full guidance at that point in time.
Operator: Your next question comes from the line of Adrian Huerta with JPMorgan.
Adrian Huerta: Pretty impressive what the company has done in terms of margins in the last in the prior 2 years and also even in this year where it's heading to be more than another 1 percentage point. Can you share with us more color on how this trend should evolve? How do you see the price to cost spread, especially across the 3 different divisions? I mean the margin improvement in this quarter, mainly coming from the Building Solutions in the U.S. and from International Solutions. How do you see this evolving and the opportunities for 2026?
Jim Mintern: Adrian, Jim here. Yes, listen, really pleased again with the margin improvement in the quarter, up 100 basis points. And based on the guidance we've given this morning for the full year, that's -- this will be our 12th consecutive year, which is really reflecting that proven track record of and consistency of delivery year in, year out. As we said actually recently, I mean, we don't see any structural ceiling to where we can take the margins, and it really is embedded as part of our performance mindset and deeply embedded in the culture of the company. And at the recent Investor Day, the fact is we raised our ambition on the margins, and we're forecasting margins and targets out of 22% to 24% by 2030. And there's a number of reasons which have given us confidence that we're going to achieve these margin increases. Firstly, it's around the CRH Winning Way, that continued consistent execution of our superior strategy, the relentless quarter-on-quarter, year-after-year focus on driving performance, whether that's operational, commercial or even procurement. And secondly, you would have noticed that we did communicate, we did step up our growth CapEx expenditure, about 18 months ago, and we're beginning to see now the benefits of that coming through in terms of margin expansion, and we've got reasonably good visibility on that as we look forward. Maybe, Randy, do you want to comment specifically on some other aspects maybe on actually maybe what's happening in the cost inflation side of things?
Randy Lake: Yes, absolutely. Maybe just to build on the growth CapEx. We have a really good backlog of projects, high-returning projects that certainly drive underlying improvement in the business. Everything from kind of capacity expansion to automation, in a variety of different ways. If we look at our Critical Infrastructure business, kind of enhancing our pipe manufacturing process through the use of automation, just another means by which to drive those efficiencies and meet growing demand in that segment. When we look at the environment in terms of cost inflation, we certainly are still in an inflationary environment. So labor, raw materials, parts, maintenance, subcontractors, those costs continue to move forward. I think it certainly highlights the need for that further pricing momentum that I talked about as we go into next year. But all in all, as Jim called out, in terms of that structural -- no structural ceiling to our margins, I think we should expect another year of margin expansion as we go into next year.
Operator: Your next question comes from the line of Trey Grooms with Stephens.
Trey Grooms: So you guys are raising the midpoint of the EBITDA guide, which you pointed out that it now includes Eco Materials, and there's definitely several moving pieces here. But could you dive a little bit more into -- and maybe walk us through some of the key drivers here of the updated 2025 guidance?
Jim Mintern: Yes, absolutely, Trey. Yes, listen, very firstly, very pleased to be announcing this morning the tightening and the raising of the full year EBITDA guidance by about $50 million at the midpoint. And maybe I'll ask Nancy to come back on maybe some of the puts and takes at the end of this. But with the increase of $50 million, that gives us a midpoint of $7.65 billion, which is 10% growth, which is off a very strong 2024, in fact, a record year for CRH in 2024, which highlights the kind of durable growth nature of the connected portfolio of local brands that we have. The increase in guidance reflects really a strong quarter 3 again with EBITDA up 10%, margins up 100 basis points and contributions from recent acquisitions as well. And again, I guess we should remember that Q3 2024 was a record quarter for us as well. So we're stepping off kind of like-for-like a very strong quarter 3 in 2024. The quarter -- Q3 did benefit from some land sales, but actually, year-to-date land sales are down year-on-year, right, over 2024. And maybe ask Randy, maybe, Randy, would you want to comment on how we think about and how we manage land sales across CRH.
Randy Lake: Yes. I think we look at kind of optimizing that portfolio of assets as we do of any other part of kind of driving underlying performance. So it's about optimizing performance plus the portfolio. You call out the CRH Winning Way. This is an expectation we would have of our teams on the ground. So that relentless focus on operational excellence, maximizing shareholder value, and that includes the management of the assets. We take advantage of the scale that we have, 4,000 locations, the ability for us to recycle and optimize that asset base. That's an important part of how we compound earnings for our shareholders. And as you call out, year-to-date, those dollars are lower than prior year.
Nancy Buese: And then just to follow on, our updated guide does really reflect our strong year-to-date performance across all of our key metrics. And as we've talked, it has been an active year for M&A, and that does include Eco having closed in September. And just as one reminder, while the adjusted guidance does include our partial year EBITDA contribution from Eco and other M&A. Also remember, though, the size and timing of the Eco transaction in Q4 and also some transaction and financing costs, you can expect that to be EPS dilutive into Q4 of 2025.
Operator: Your next question comes from the line of Michael Feniger with Bank of America.
Michael Feniger: I'm just curious if we could unpack the drivers of the performance and the margin expansion in Americas Building Solutions. There's been a lot more data points pointing to weakness in repair and remodeling, incremental weakness in residential. And we saw the performance in Americas Building Solutions this quarter. Hoping you can kind of unpack what you're seeing there, what you feel is sustainable going forward and into 2026?
Jim Mintern: Yes. Mike, yes, as you know, firstly, maybe America Building Solutions, it comprises both our Infrastructure business in the Americas, but also the Outdoor Living. And maybe I might ask Randy to come back on Outdoor Living. But firstly, on overall, right, a very strong Q3 performance. Adjusted EBITDA up 22% and margin well ahead of last year. What's driving that is overall good underlying demand, good commercial management and as we just mentioned, also the benefit of some asset disposals in the quarter. But what's really driving on the infrastructure, firstly, is what is really the real strength, the underlying strength across the Americas of the whole reindustrialization activity, primarily around data centers. And as you know, given our scale, our national footprint, we're very well positioned for most projects, nearly all projects within 50 miles of CRH location. And in fact, right now, we're working on, in total, about 98 different data center projects. Now they're all at different stages of completion, but it gives you some feel for the kind of scale of activity there. And really what plays into our kind of sweet spot on this is the connected nature of the portfolio. That's a real advantage, right, that we're often, as I said earlier, first on site with our infrastructure products, then we're supporting that with our aggregates and cement. And if you're a contractor building data centers, what really matters right now, it's around quality and speed of delivery, certainty and speed of delivery, and we have a real advantage, competitive advantage there. And that comes through when we get to talk about margins and pricing as well on those jobs. Maybe, Randy, on Outdoor Living.
Randy Lake: Yes. Outdoor Living, certainly, I think, performing very, very well when you look at underlying hardscapes, mainstream, packaged products, all really moving forward this year. You have to remember, coming from a very strong performance and growth over recent years coming out of COVID, the team has done a really terrific job in kind of sustaining that momentum, engaging with our customers the right way. And again, this is where we play here has been the most resilient in terms of repair and remodel. That's been a very purposeful effort. But the team has delivered well. It takes a lot of areas of focus, in particular, to call out kind of our category-leading brands. That's really what draws kind of the connected nature with our customers and as well as the logistics network that we've built to be able to service on time on a consistent basis. So I think fundamentally, and Jim has called it out, that business is very deeply connected to the underlying ag and cementitious business. So that combination of delivery certainly has been impressive this year, and we look for more positive momentum even as we get into '26.
Operator: Your next question comes from the line of Kathryn Thompson with Thompson Research Group.
Kathryn Thompson: I know a lot of focus on data centers and reindustrialization, which is certainly driving demand. And after having gone to a data center construction site, it is pretty staggering the demand that is driving a wide variety of projects. But that said, infrastructure is still a very important part of your business overall. And there's been a little bit of lack of visibility with kind of U.S. in terms of government funding right now with the government shutdown. But it still looks like that infrastructure funding is still chugging along just fine. But we want to make sure that, that is the correct interpretation. More importantly, what is your level of visibility on your roads business and the prospects for the highway bill reauthorization in 2026?
Jim Mintern: Yes, maybe just -- you're right, infrastructure for us is our biggest segment. It's a segment which really drives CRH across both the Americas and international. And maybe just to put it in some context and particularly our roads business. As you know, we're the largest road paver in the U.S. with producing in excess of 50 million tonnes of asphalt per annum across 43 states. And as I said earlier, it's actually our most predictable and recurring revenue stream that we have, and it's a highly attractive business. Now there's still very significant runway for growth in the business as we look into '26 with still 60% of the IIJA funds yet to be spent. And as I said earlier, the very healthy local state budgets -- it's a key part of our connected portfolio in the Americas. And a typical year, to give you a bit of scale, we do about 4,000 paving jobs per year. They typically last about 90 to 120 days. And with the connected nature of the portfolio, that paving activity really pulls through the highest quality and the highest value and the highest margin aggregates through our connected portfolio. We called it out recently actually on the Investor Day by actually not just producing ags, we have that ability to take what is kind of an indicative $10 per cash profit per ton and turn that into $60 by turning it into asphalt, adding liquid asphalt and indeed paving it. And it's a real multiplier for profits, cash and returns for us. It's also less capital intensive with higher returns. And ultimately, in terms of the growth and the inorganic side, gives us real optionality for where we deploy capital. Now we're kind of what, 5, 6 weeks out from the year-end. We've got pretty good visibility into 2026 in terms of our bidding on the activity levels, and that's what gives us that confidence in terms of guiding on infrastructure in '26. But maybe, Randy, on specifically what we're thinking around maybe the new highway bill as well. Can you give some color on that?
Randy Lake: Yes. I guess, first, just to build on Jim's point, the IIJA, as you know, Kathryn, right about 60% of that funding has yet to really hit the street. So -- and we called that out. I think we said early on, it was a 5-year piece of legislation. It was going to take 7 years to deploy. That's kind of how it is rolling out currently, which is really no different than any other legislation prior to that, just kind of how things have worked from a federal to the state level. So our bidding activity is up, so we're encouraged by that. I think the other thing is it's also encouraging to see the size and the complexity of projects. So to me, that speaks to long-term confidence at the state level about deploying capital in those type of projects. So I guess -- but to your point about what's next, I guess, early conversations are positive. So it's great to hear from the Chairman of the House T&I Committee, from Secretary Duffy from both sides of the aisle in terms of underlying commitment to a new piece of legislation. So the conversations are beginning and so far positive. I think probably the most encouraging thing would be this mindset of moving more dollars to roads, highways and bridges. What that quantum looks like, I'm not sure, but it's encouraging to hear those kind of conversations on both sides of the aisles. And so we're actively participating with those conversations, and we'll see where it ends up, but certainly encouraged by early discussions.
Operator: Your next question comes from the line of Michael Dudas with Vertical Research Partners.
Michael Dudas: Okay. So Jim, I just want to get your thoughts on the M&A pipeline as you're accelerating on your 4 connected platforms, where now or are you seeing some of the focus on the capital allocation towards M&A over the next 6 to 12 months?
Jim Mintern: Yes. Sure, Mike. Yes, listen, really pleased with the execution to date, right, $3.5 billion on 27 deals, the largest, which is Eco Material and maybe come back at that at the end and maybe get Randy to talk about how that's going from an integration perspective and how it started. But great start to the year, 27 deals and really reflects the continued successful execution of our growth strategy and our ability to deploy capital in growth markets across our key platforms. And you said it in the question, actually, we -- at this stage, we've built 4 growth platforms of scale coast-to-coast across the U.S. in aggregate, cementitious, roads and water. It also reflects our ability to integrate. I mean 27 deals year-to-date to be able to integrate those at pace and get early execution and deliver on synergies as well reflects kind of just that growth capability that we have. The pipeline at this stage into 2026 is good. And that, again, is really coming from a lot of the local relationships that we have across the 300 operating businesses across CRH. And it's really, again, when you layer that kind of scale, the connected nature of the portfolio, it really gives us optionality as to where we choose to deploy capital going forward. And at the recent Investor Day, we would have called out that on the medium term out to 2030, we estimate that we're going to generate $40 billion of financial capacity. And we're going to allocate that approximately 70% to the growth side, so growth CapEx and M&A and then 30% in terms of shareholder returns. So the consistent year in, year out ability to deploy capital in value-accretive acquisitions really highlights us as the kind of leading compounder of capital in the industry. But a great start to the year and good activity level across the full business, both the Americas and international into '26. But Randy, maybe on Eco?
Randy Lake: On Eco. Yes, early days so far, but the integration is going really well. I think maybe when you stand back, we were excited about the opportunity before and even more so as we've got an opportunity to bring them into the CRH fold. I think I'd call out a couple of things. Obviously, it's a fantastic team, terrific leaders and organization from an operational standpoint and a great brand, and we're going to continue to build off that brand. I think from a cultural standpoint, a great deal of alignment. They're focused on ensuring their teams are safe. That's our #1 value within CRH, great to see. It's the ownership of those relationships, really deep local relationships, the importance of that, and that's in direct alignment with how we look at our local brands and how we go to market. But as we got inside, certainly, we're seeing things that we would continue to build off of. One, they have a terrific offering with current customers, the ability for us to integrate that to our cementitious business with Ash Grove is going to give us plenty of opportunities from a commercial standpoint. And remember, the SCMs are the fastest segment of the cementitious space. And so it was important for us to play there, and they deliver a lot of optionality for customers. I think that's that -- I think I called it out in the opening remarks, the network that they've built. It gives us an additional 55 terminals across the U.S., close to 8,000 railcars to really extend our reach to our customer base, which is very important to provide high-quality product in a timely manner. And I think lastly, what they have done really well is drive innovation in this space. The customers that we're engaged with, whether it's on high-spec manufacturing or data centers, a focus on sustainability, they've done an incredible job of really advancing that in their overall offering. It's going to be a terrific combination with our scale. So overall, excited as to where we are at this point in time. I think there's a tremendous amount of value for our business and overall shareholders and a great opportunity for us to continue to drive margins forward.
Operator: We have time for one last question, and that question comes from the line of Colin Sheridan with Davy.
Colin Sheridan: My question is on the International Solutions business. And clearly, it's had an excellent Q3 in terms of the profit growth and good margin progress. But looking forward, I just wonder if there's any areas of that business you might think will provide opportunities for some further upside as we go into 2026.
Jim Mintern: Yes, listen, as you called out, a really good quarter, actually a really good year-to-date and building off a really strong 2024 as well with year-to-date adjusted EBITDA and margin growth across the International Solutions business. It's an encouraging outlook, Colin, into 2026. And in fact, beyond that, I'd say, for the next 3 to 5 years across the international portfolio. And it's really recovering from what has been a challenging period. It has had numerous headwinds, whether it started out originally with Brexit, then we went into the pandemic, then the energy crisis and the war in Ukraine. And -- but what we're seeing is that Europe is more advanced in the kind of interest rate cycle, the cutting of interest rates. And that's coming through in terms of being more supportive of continued residential recovery. That, together with good EU level and individual state level funding for infrastructure in our key markets is providing a very significant underpin in terms of base activity levels coming from infrastructure. We're also this year in our eighth consecutive year of price increases across the European business, and we're expecting further momentum on that into 2026 also. And in our case also, we would have taken on a lot of portfolio and self-help measures over the last number of years across the -- particularly the European portfolio. And as activity levels are beginning to recover, we're beginning to see really good leverage on the margin drop-through on that business and you see that coming through on the quarter-on-quarter and year-on-year performance as well. And maybe finally, just in terms of Australia. Really, it's a little over 12 months at this stage. Good news, really good delivery on synergies ahead of our expectations and good positive momentum into 2026. Well, I think that brings us to the end of questions today, but thank you all for your attention. And as always, if any of you have any follow-up questions, please feel free to contact our Investor Relations team. We look forward to talking to you all again in February next year when we will report our full year results for 2025. Thank you all, and have a good and safe day.
Operator: Thank you. Your conference call has now ended. You may now disconnect.